Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2014 Fuel Tech, Incorporated Financial Results Conference Call. My name is Katina and I'll be your coordinator for today. At this time all participants are in listen-only mode. Later we'll facilitate a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Devin Sullivan, Senior Vice President at the Equity Group. Please proceed.
Devin Sullivan: Thank you, Katina. Good morning everyone and thank you for joining us for Fuel Tech’s 2014 Fourth Quarter and Full Year Financial Results Conference Call. Yesterday after the close, we issued a copy of our results and is available on our website at www.ftek.com. The speakers on today's call will be Doug Bailey, Chairman, President and Chief Executive Officer; Dave Collins, Senior Vice President and Chief Financial Officer and Vince Arnone, Chief Operating Officer. After prepared remarks, we will open the call for questions. Before turning things over to Doug, I'd like to remind everyone that matters discussed in this call, except for historical information, are forward-looking statements that are subject to certain risks and uncertainties that could cause actual results to differ materially from those set forth in our forward-looking statements. The factors that could cause results to differ materially are included in our filings with the SEC. The information contained in this call is accurate only as of the date discussed, and investors should not assume that statements made in this call remain operative at a later date. Fuel Tech undertakes no obligation to update any information discussed during the call. And as a reminder, the call is being broadcast over the Internet and can be accessed at our website www.ftek.com. With that said, I'd now like to turn the call over to Doug Bailey. Doug, please go ahead.
Doug Bailey: Good morning and thank you everyone for joining us on the call today. As you've seen over the last few days, we've quite a bit of ground to cover on today's call and I would like to begin with a discussion of our air pollution control business segment. As I discussed with you on our third quarter call, generating sales momentum at our APC business has been challenging. Conversion times from bid to signed contract have extended far beyond historical norms. This has largely been driven by deferred client purchases stemming from protracted regulatory delays affecting the utility markets. This has also been exacerbated by continuing shifts in fuel type and generation mix, specifically the increased use of natural gas over coal in the United States. Although our international business development efforts over multiple years have helped to stem this domestic market softness to an important degree, our full year 2014 EPC revenues declined by about $30 million as expected. A significant percentage of this year-over-year revenue change was anticipated from the timing of revenues and work completion on our large multiyear capital project in Chili. However, somewhat larger percentage of this reduction can be attributed to recent market conditions in the U.S. With this as a backdrop, under generally accepted accounting principles, we're required to conduct in the fourth quarter of each year an annual goodwill impairment test for each of our two reporting units, air pollution control and FUEL CHEM. As a result of that test, we determine that a non-cash write down of $23.4 million in our APC segment was required in the fourth quarter of 2014. No impairment was required to the $2.1 million of carrying value of goodwill in our FUEL CHEM segment. Let me make two important points about this charge. Number one, this is a non-cash charge and has no impact on Fuel Tech's liquidity, working capital, cash flows or compliance with debt covenants. Our tangible network is unaffected. Two, the majority of the charge is associated with the operations of Advanced Combustion Technology, which we acquired in January 2009. ACT has nevertheless been an important part of our growth these past six years and we continue to sell the technologies acquired in that business. With the application of this charge, we have reduced the carrying value of goodwill in our APC segment to a zero balance. Current and near term market conditions cause this to be necessary. However, we remain confident that our overall APC technologies portfolio has significant strategic value for the future as long term outlook for our emissions control solutions remained promising. We do expect that our geographic diversity in the APC segment will help mitigate the impact of these domestic regulatory issues and contributed to overall profitability in 2015. We were pleased to announce $4.8 million APC contracts late last week of which approximately half were domestic and about half were international orders. We also expect to announce additional international awards shortly. In the near term, we are anticipating the award of one large contract in Europe, which will be the first commercial application of our recently developed advanced SNCR technology that was conceived, field tested and proven through our new product development initiative. This is a return on investment and our renewed commitment to research and development. The relationships that we have been in up over our nearly 30-year history will serve as the foundation for our growth, and we expect an improved market environment in 2015. We continue to believe in our solutions and have tendered a number of significant bids for planned APC projects around the world. At this early point in the year, we cannot predict precisely which bids will convert to contracts, given the long sales cycle and competition for awards. However, we recently expect our APC revenues in 2015, they likely be $15 million to $20 million higher than last year. We look forward to a resumption of growth at APC, and we'll keep you apprised of our progress. Moving on to FUEL CHEM. This segment has provided a steady base of revenues, maintained a consistent gross margin of 53% and continues to be a strong contributor to our cash flow. The impact of weather on generation -- existing customers was a factor in the fourth quarter. And for 2015, we expect that FUEL CHEM will grow modestly at the top line, while maintaining a gross margin level that this business segment has traditionally delivered. During the year, we anticipate demonstrating this technology in China, but we see a large market application, given the amount of low rank coal burn in that country and the opportunity to improve boiler efficiencies. As a larger potential market, China continues to be a focus for us. As we have stated in the past, China is the largest emitter of greenhouse gasses in the world, and 80% of its more than one million boilers are fueled by coal. We are witnessing growing pressure on compliance with existing environmental regulations, and we expect further tightening of those regulations. To highlight this trend, a number of major U.S. news agencies this month carried a story of the release on a new online documentary in China called Under the Dome. Produced and narrated by a former reporter from China's central television, the film has now been viewed more than 200 million times in China. The film addresses the head-on the ramp in air pollution problems in China, and calls upon its citizens demand action. The combination of scientific data and investigated reporting, it's a gripping report on the reality of widespread air pollution in China and how it is affecting its citizens. Since it is interesting to note the film was not censored, and until about two weeks ago was posted on the website of the People's Daily, an official newspaper of government of China. This film reminds us that public support will be an important driver for Chinese business and government officials to continue their advance towards reducing harmful emissions. Fuel Tech's technologies have played an important role in reducing NOx emission in U.S. by 45% over the past 10 years. And we are positioned to assist China in achieving similar progress. As Dave will expand upon shortly, we ended the year in a strong financial position. For the full-year we generated $4.4 million in EBITDA, ending the year with $18.6 million in cash and no long term debt. We continue to align our operating expenses with anticipated market demand. Each year we conduct a thorough review of our operations to match our expenses to our business plan with an eye towards the rationalize expenses very necessary without compromising our ability to serve our clients and to continue to pursue the strategic business development opportunities. Finally, I'd like to take a moment to welcome Vince Arnone as Fuel Tech's new President and Chief Executive Officer effective April 1st. This transition is the combination of a three-year planning process by the Board and me to secure leadership continuity and excellence of Fuel Tech. A key determine of success in any CEO transition is having a highly qualified, experienced internal candidate who is already familiar with the company's business, it's culture and its people. Over the last 16 years and in a number of key executive roles, Vince has proven to be an effective, passionate leader who has demonstrated his commitment to Fuel Tech on our mission time and time again. I'm confident that he is the right person to lead us through the next phase of our growth and development. We are very fortunate to have him here. And I think that our investors will appreciate Vince's knowledge, his energy and his experience as they come to know him. It has been my privilege to serve as Fuel Tech's President and CEO for the last five years. And I very much look forward to continuing work with Vince, the executive team and the Board of Directors as executive chairman. I will be focusing largely on major strategic opportunities for Fuel Tech, including the further development of our new fuel conversion business initiative. With that I'd like to turn the conversation over to Vince, who will give you his additional perspective as to our international business. Vince?
Vince Arnone: Thank you very much, Doug, and good morning, everyone. It's my pleasure to participate in today's call. I have spent the majority of my time over the past few years focusing on the further development of Fuel Tech's international presence. As Doug mentioned, the geographic diversity provided by our international business has allowed us to navigate the uncertainty created by regulatory drivers and they are specific to each country in which we do business. It has also provided significant benefit to overall company profitability over these past few years. Further development and expansion of our global footprints remains a high priority. To expand on Doug's commentary, China remains a market that we believe holds promise. Public criticism of the government handling of the country's air pollution control issue is growing stronger and stronger with each passing day. The increasing dissatisfaction among China's citizens has made addressing the country's air quality a top government priority. Fuel Tech's investment in the China market has provided a solid return since its inception in 2007, and we expect to capitalize on future opportunities that are driven by increased pressure on compliance with existing regulation, further tightening in regulation and the implementation of a legal mechanism for panelizing non-compliance in a meaningful way. Basically, China needs to ensure that the capital investment that has been spent thus far and that will be spent prospectively on pollution control remedies has been allocated wisely and effectively. Control technologies need to be operational continuously, and strong penalties need to be put in place for non-compliance. We still expect to capitalize on near-term business opportunities in China with a renewed focus on improved product positioning and on generating partnerships with organizations that appreciate our advanced technology. In the near-term, we are optimistic about our business development activities in Europe where we have been cultivating business relationships for many years in anticipation of compliance with the requirements of the European Union's industrial emissions directive as of January 2016. 28 European Union member states must meet certain emissions' requirements under this directive. Fuel Tech is well positioned to benefit from these regulations, due in large part to the performance of demonstrations of our technology over these past two years, and also based on the development of a strong relationship with a large partner in the power generation industry that has significant presence in Europe. We are very optimistic that our initiatives in Europe will convert to contracts in the near-term as Doug mentioned previously. Before I turn things back to Dave for commentary on the financial results, please let me say that I am more than pleased to be appointed as the Chief Executive Officer of Fuel Tech effective April 1. While I'm new to the CEO position, I'm certainly not new to the Fuel Tech, having spent 16 years with the company in a number of positions including Chief Financial Officer, Executive Vice President of Worldwide Operations; and most recently, Chief Operating Officer. As I look towards Fuel Tech's future, I understand that our most significant accomplishments stemmed from innovative thoughts and the development of intellectual property in support of market needs. Our ideas were enhanced by technical advancements, made possible by our commitment to building and retaining a team of the best and brightest employees. These innovations were supported by a corporate culture, willing to take measured commercial risks, and then nurtured in the marketplace by offering ourselves at every level of our organization as a sincere solutions partner to our customers. I believe that our future success relies on the continued application of this proven approach as we evolve our products to meet the future needs of the markets we serve. We will continue to embrace both organic and inorganic business development opportunities in support of growth, if these opportunities to meet our performance goals and are in technology or market areas where Fuel Tech has expertise or reaches additive. There is no question that we have challenges that lie before us. However, my focus in the weeks and months that lie ahead will be on positioning the organization to capitalize on the opportunities that can create the best and the highest level of sustainable shareholder value. We thank our long-term investors who continue to believe in our core principles, values and mission and I look forward to speaking with many of our shareholders in the weeks ahead. For now, I’ll turn things over to Dave for a review of our financial results. Dave?
Dave Collins: Thank you, Vince and good morning everyone. Consolidated revenues for the full year totaled $79 million, decrease of $30.3 million or 28% from the prior year. This decrease was observed in both our U.S. domestic and foreign APC segment businesses. These decreases were due to a variety of factors including anticipated reductions in our Chile project revenue due to the further completion of that project and declines in both U.S. and China revenue due to slower business activity. During 2014, our U.S. revenues declined by $12.4 million or 20% to $50.9 million, while our foreign revenues decreased by $70.9 million or 39% to $28.1 million. We will discuss activity in our APC and FUEL CHEM segments in just a minute. Consolidated gross margin percentage for the full year was 44%, which was up slightly from 43% in the prior year. Our consolidated gross margin performance in both segments was comparable with the prior year. Our selling, general and administrative expenses for 2014 totaled $35.4 million, a decrease of $943,000 from the prior year. Our SG&A as a percentage of revenues however increased from 33% in 2013 to 45% in 2014 due to the reduction in revenues. As discussed previously, we have mentioned our supporting infrastructure for anticipated domestic and foreign business expansion. During 2014 decreases in commissions and bonuses of $3.3 million were offset by increases in stock compensation, depreciation and amortization, professional fees and other costs. We also incurred specific cost related to long-term strategic initiatives of $600,000 during 2014 and recorded bad debt expense of $760,000. During 2014, we impaired $23.4 million of our APC technology segment goodwill due to delays in expected order flow from various regulatory drivers. The majority of the goodwill was recorded in relation to an acquisition we completed in 2009. We continue to believe in the long-term opportunities of our APC business, but due to the uncertainties surrounding market drivers, we could not sustain a near-term business outlook, sufficient to deliver the discounted cash flows necessary to conclude that the fair value of our APC reporting units exceeded the carrying value of goodwill. Our research and development spending for the full year was down $983,000 due solely to the timing and scope of our project spending. We plan to continue funding R&D to support the creation of new opportunities and critical projects in which we are engaged. Long-term we continue to believe the development of new products and processes is essential component of our future growth. Effective tax rate for 2013 was 31% due to the nature of our permanent items and foreign tax rates. On a long-term basis, we expect our effective tax rate to approximate 40%. Consolidated net loss for the full year was $17.7 million or $0.78 per diluted share, and our adjusted EBITDA for the full year was $4.4 million. On a non-GAAP basis, exclusive of the $23.4 million non-cash impairment charge and resulting $7.3 million tax benefit, the net loss for Q4 would have been $1 million or $0.04 per diluted share and the net loss for the 2014 full year would have been $1.6 million, or $0.07 per diluted share. Now let’s move on to more in-depth discussion of our business segments. Our APC segment reported full year revenues of $42 million, down $3.5 million or 42% from the prior year. This decrease is reflective of an $11.9 million drop due to the continued completion of our Chile project, which was expected and lower revenues in both our U.S. and China revenue. Our consolidated backlog at December 31 was $18 million broken down as follows, U.S. $12.1 million, Europe and Latin America, including Chile, $3.2 million and China, Pacific Rim $2.7 million. Overall our bookings in our APC segment slowed to $22 million in 2014, which represent a decrease of approximately 50% from the prior year. This decrease was reflective of slower bookings in both the U.S. and China markets. We continue to believe a strong market opportunity exist for our products across all geographies and expect to see some uptick in orders in the second half of 2015. In Chile, our project continues to progress and we have completed installations at five of the six units, with our last unit set to install during Q3 of 2015. Our U.S. APC segment outlook is slower for the first half of 2015 and will remain so until we have greater regulatory certainty. However we have identified a large market opportunity remaining in the U.S. and remain poised to serve that market. Gross margin for the APC segment was 37%, down 1% from the prior year. Our consolidated margin has remained consistent, while our product mix has changed. We expect to see this margin decline in 2015 to around 35% due to the mix of projects and continued pricing pressure in foreign markets. Our FUEL CHEM segment reported 2014 revenues of $37 million, which is flat with the prior year. We do expect to see some growth in this segment in 2015 although the timing and amount of those increases are uncertain. Gross margin for our FUEL CHEM segment was 53% which again was consistent with the prior year. We have maintained our revenue and gross margin profile in this segment despite continuing challenges in the marketplace. Now for some comments regarding our Q4 results. Consolidated revenues were $18.7 million, representing a decline of $5.5 million or 23% from the prior year. Our APC segment revenue totaled $8.9 million, representing a decline of $7.1 million or 44% from the prior year. Our FUEL CHEM segment revenues totaled $9.8 million representing an increase of $1.6 million or 19% over the prior year. Our fourth quarter FUEL CHEM revenue was favorably impacted by weather conditions and fuel pricing, which contributed to the year-over-year increase. Our consolidated gross margin percentage for the quarter was 47%, which was up 4% from the prior year. During Q4, our APC segment margins were 41% while our FUEL CHEM segment margins were 54%. We would expect to see our APC segment gross margins range between 35% and 40% in 2015, while we anticipate that our FUEL CHEM gross margins will range between 48% and 52%. Our SG&A expenses for the fourth quarter totaled $9.7 million, up slightly from the prior year. We continue to monitor our SG&A spending and will make necessary adjustments when needed based on market and business activity outlooks. During Q4, we also recognized a $23.4 million impairment charge in our APC segment business, which generated a tax benefit of $7.3 million. Net loss for the fourth quarter was $17.1 million or $0.75 per share, due in part to the goodwill impairment charge. On a non-GAAP basis, exclusive of the impairment charge, the net loss for Q4 would have been $1.04 per diluted share. This compares with net income of $400,000 in the prior year or $0.02 per diluted share. Cash and equivalents at December 31 were $18.7 million and we have a small debt balance on our foreign line of credit totaling $1.6 million. Our working capital balance decreased $8.9 million to $39.7 million from the prior yearend balance of $48.6 million. This decrease was due to the business acquisition and technology purchase made during 2014. Cash provided by operating activities was $5.4 million, while our spending on property and equipments, purchases of other intangible assets and business acquisitions totaled $13.9 million. We expect to continue to generate strong cash flow from our business model and we will continue to invest in research and development activities during 2015 to enhance our product portfolio. Now I would like to turn the call back over to Doug.
Doug Bailey: Thank you all for your time. I can assure you that we remain fully committed enhancing the value of our shareholder's investment in Fuel Tech and on behalf of our employees around the world, I do thank you for your continuing support. I'll turn it back over to the operator.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Lucas Pipes representing Brean Capital. Please proceed.
Lucas Pipes: Hey good morning, everyone.
Doug Bailey: Good morning, Lucas.
Dave Collins: Good morning.
Lucas Pipes: So first I wanted to follow up on the China opportunity, I've covered Fuel Tech for a while and I’m still waiting for the lift there and if you could maybe just help me get a little more tangible about this opportunity and how you think you’re going to capture that market? What are you doing differently now from let's say a year ago, what have you learned from your presence there? How do you think you can really capture this opportunity?
Doug Bailey: Let me ask Vince to answer that question as the China operations have reported [produced] [ph] last five years.
Vince Arnone: Hi Lucas, how are you?
Lucas Pipes: Doing well, thank you.
Vince Arnone: Good. Regarding China, obviously we've had local presence in China now for going on little over seven and half years and on an overall basis we feel as though we've been successful on that marketplace from a profitability perspective. Our growth has not been at the level that we would have liked however. The marketplace itself is -- obviously it’s a large market opportunity that we do have here okay. Competition is strong in the China marketplace and there are a lot of local Chinese suppliers that are copycat suppliers for technology okay. We want a nice share of work okay and I continue to expect us to continue to win our nice share of work in that marketplace okay. But for us to see a what I would call dramatic uptick in work in contract awards in the China marketplace we’re going to need a little bit of help from local China regulation to the point whereby there are very specific penalties put in place for the power generation industrial entities that have implemented technologies, but they're not running these technologies today. But if they are running them, they’re not running them effectively. China’s pollution control issue is worst today than it was four or five years ago prior to the implementation of these technologies. So what does that mean? It means that capital has been spent by a lot of entities, but that capital has not been spent wisely and it's been spent in a way whereby these entities are not running the capital installations that they put in place. So we need for us to go ahead and take that next step forward from a revenue generation perspective, we do need a little bit of assistance from our regulatory push that will effectively penalize entities, they aren’t running their systems that will help us dramatically. On the other hand, what we’re looking to do is to better position ourselves with larger partners in that marketplace that we can use to leverage the deployment of our technologies in the market. So it's going to be a twofold approach for us. One is we need some help. Two, we need to push a little bit harder with some larger partners to get our technologies better deployed.
Doug Bailey: I can add to that color Lucas saying that what Vince is saying is correct. We’ve seen an increasing competition offering copied versions of technology, perhaps not necessarily offering the true same performance. It's just a matter of fact if you don’t play and run these installations the performance doesn’t matter and it’s a little bit cosmetic to do that. We do have a little bit of a I suppose cynical view because we’re out there trying to do good work with the right solutions. I encourage you to watch this documentary because I think it gives you a very gripping realistic story of the challenges that faces the Chinese market. This is trade off for money versus the environment and money has won, but this cannot go on forever. I would actually like in this documentary to the wakeup book that Rachel Carson wrote was Silent Spring many years ago, which I’m sure you've read. I think that’s getting to the time when the people of China must and are demanding a better environment because their health is at risk. As Vince also mentioned, we do seek partnering opportunities that give us greater market cloud. I think these are significantly important.
Lucas Pipes: I wanted to follow up on this. These testing opportunities, are there specific discussions at this time? Do you have many be a timing in mind for announcing a potential partnership and are you thinking about strategically local Chinese producers, larger Western manufactures? How do you -- could you maybe describe these partnerships in a little more detail?
Vince Arnone: Okay. Just on a high level Lucas; yes, we will be looking local because it would be a local that would really provide us the additional to Doug’s word, cloud in that marketplace. So local will be the focus. Timing for us is difficult to provide you with at this point in time, but I definitely understand that it's something that we're in the process of evaluating right now.
Doug Bailey: I think it's fair to say that the trade-off for getting large markets significance gives you a nice partner a very large company many times our size that we had discussions with many such companies. But keep in mind that the decision making process for them and for us is one of a paced longer term nature. So though I ultimately think that a partnered arrangement will serve Fuel Tech best and could be realized in China? Yes I do, but we're not going to be in a rush to partner with the wrong company either.
Vince Arnone: Right, that would be a mistake, absolutely agreed.
Doug Bailey: That we're in control of our destiny.
Vince Arnone: Lucas, I would be happy to share with you offline at some point in time, some very specific instances of our experience in the marketplace as it relates to how we’ve seen customers run their units and what provides us with some additional insight as to what’s really going on in that marketplace for capital equipment for our pollution control, it's really quite fascinating, it truly is.
Doug Bailey: And let us also say that as competition emerges and pricing becomes a little irrational, we’re not going to chase projects for the sake of the revenue line. We aim to make money in the business that we conduct over there. So we would rather steward our business activities for the bottom-line.
Lucas Pipes: Right, may be if I can just squeeze in final question here, on the margin side, I think you were at 41% in APC, 53% FUEL CHEM. What’s your outlook for '15? I didn’t catch at in the prepared remarks, I want to see if there is some color at this point.
Dave Collins: Yeah, this is Dave. We would -- we’re expecting our margins in '15 to drop a bit from the '14 level, just on the APC side, not on the FUEL CHEM side. We expect FUEL CHEM to be consistent, but we would look for a couple percentage point drop on the APC side and that‘s just due to project mix that’s expected to come true in 2015 that’s all.
Lucas Pipes: Great. Okay. All right, well I appreciate all your good answers and good luck.
Doug Bailey: Thank you, Lucas. Back to the operator.
Operator: Your next question comes from the line of John Quealy representing Canaccord. Please proceed.
John Quealy: Hey, good morning folks. How are you?
Doug Bailey: Hi, John.
John Quealy: So a quick question Doug, why now the time to pass the rains over to Vince? Can you give us any insight in terms of your timing or your thoughts around the organization for this?
Doug Bailey: Sure, I would be happy to. I was asked by the Board to step in service the company’s present CEO, which I didn’t assume as of April 1, 2010, and it’s been a privilege to do that and I've really enjoyed working with the people here. We also did a few things related to good succession planning and governance, created denominating corporate governance committee shortly thereafter. Through that committee and the Board, we put in place a number of good practices. One very important of which was management as well as Board succession planning. We’ve used that planning process not only to shape the recruiting and constituency of our Board, which represents our shareholders, which I think about the development at multiple levels of our talent. And when we look at planning for the next CEO, we’ve observed that well run companies are better off if they have good internal candidates to rise to higher level positions. When you bring somebody in from the outside, you may or may not know that person well. That person may or may not be able to quickly assess the needs of the company. So I advocated with our Board that as part of the development of our management team and that of kind of told them that we ought to look very hard at having a good qualified internal candidate. Vince Arnone was interested in the position that created in September 2010 as Executive Vice President Worldwide Operations. We transitioned over time that title to Chief Operating Officer and the duties have both positioned in being much the same. In that role, those roles he has been responsible for all of our international operations particularly China and Europe and he also oversaw our entire engineering and project execution organization. In other words most of the people in the company set aside our domestic sales marketing activities in the Americas both North America and Latin America. The remainder of the company reported to Vince. I think he’s had a tremendous learning process and has made significant contributions in that role and as we look to find a head, I think it was back in 2012 we said let’s plan an orderly succession. Somewhat after that, I gave the Board a suggested date of May 2015 Annual Meeting timeframe to make that transition as we prepare our proxy to go out on about April 1 for that meeting. We’re going forward with my plans to hand the rings over to Vince, as President and Chief Executive Officer, while I remain on as I had asked the Board to do in a role of Executive Chairman. To that end, I’ll be active as an officer and employee of the company. Vince expands his duties and responsibilities to conclude all operating activities, including our American operations and that’s a logical next step for Vince. I’ll retain some reports that are particularly related to the fuel conversion business development initiative, which I think will be part of our future growth story. That particular activity is in the technical development stage, which includes R&D higher testing, intellectual property gathering, process design engineering and ultimately detail design engineering to be completed later this year. I will also arrange business development activities with potential customers and the financial modeling of that business. So I intend to remain very close to guiding the development of that business and we have some tremendous talent inside the company working on that. So I think it’s the right time. Incidentally I turn 65, on April 4, 2015. I can assure you that 65, was never age in my mind to retire anymore than it was for my father Ralph Bailey who turned 91 next or just recently turned 91 in the month of March. And so he and I remain long-term shareholders of the company and we plan to support the company's long-term growth. So I have unique privilege of being able to continue in the role of Executive Chairman. But we’re really, very, very delighted that we have Vince with his 16 years experience. So it’s time for a man of his age and experience to become the CEO. I think it's also been very welcomed announcement to our employees, who know Vince well and that’s a great sign of a good transition so at least we can make that transition in the next two weeks.
John Quealy: Thanks for that. Vince, congratulations. So you’ve a big role to sell after the Bailey’s succession. You’ve been around Fuel Tech a long time. Can you talk about from a macro perspective, what your assessment, where would you like to go? Is it still too early? What can you offer us in terms of moving forward under your new job here as CEO?
Vince Arnone: Hey John, how are you? It's been a long time since we’ve actually spend some time talking together and I look forward to that happening again here in the near-term and I’m obviously extremely pleased. I’m honored to have the opportunity to become Fuel Tech’s President and CEO. Relative to your question more specifically it’s a little early for me to go ahead and pass on call it more specific direction at this point in time. I’m going to take this next handful of weeks and months to assess that a little bit more thoroughly. And then obviously what we’ll be talking I think with yourself and with others about how we see the direction of Fuel Tech moving into the future. I think we’ll expand on some of the themes that we have been engaging in relative to our geographical diversity that’s been very favorable and very positive for us. And as both Doug and I had noted, I think we’re going to see a nice boost coming out of the European marketplace here in the near-term, which is something that we’ve been working on very specifically in this past two to three year timeframe, so very excited about that looking to come to fruition. China is going to still be a focus, but the focus there is going to be more about how we leverage our technologies in that marketplace and that would also apply to other geographies as well. We need a renewed effort on new product development and on business developments in general. Fuel Tech needs to bring different products to our markets. So that will be a big focus of ours. Nothing to lend to discussion today, but know that that's something that we’ll be talking about further in the future. And again I’m optimistic. I think that we’re going to see a turnaround here in 2015 relative to order flow, which will go nicely for us and that we’ll have opportunities to discuss further in the future John.
John Quealy: All right guys, thanks very much. Good luck.
Vince Arnone: Thank you.
Doug Bailey: Thanks John.
Operator: Your next question comes from the line of Joel Marcus representing Network Financial. Please proceed.
Joel Marcus: Gentlemen I have to say I’m extremely impressed with this business. Certainly you’ve managed to transition the business. You’ve managed to stay cash flow positive through some challenging times. I think you've got a tremendously impressive business. Unfortunately there currently seems to be a dramatic disconnect between this business, the value of this business and that thing under the symbol FTEK that seems to happen between 9:30 and 4 from Monday to Friday when the stock market is open. I know you currently have a rather dramatic negative enterprise value, which I certainly personally don’t take as justified and you're trading under book, by every metric the stock seems to be tremendously, tremendously undervalued. I appreciate your plans for growing the business for seeing the business be successful in the short and long term, but are there any plans regarding that other thing that occurs under the symbol FTEK to make this stock into an investable successful stock that shareholders to own and expect to see a reasonable return on investment. Certainly you have a very large cash balance. It would certainly seem possible to pay a dividend. It would certainly maybe possible to monetize some of your enormous intellectual property suite. So I’m very happy with you plans for the business. What are your plans to make this into a successful investable stock?
Doug Bailey: Joe, you asked great questions and you have a lot of insight. I couldn’t agree with you more. I particularly believe that our company is undervalued as a large stockholder myself. I’ve been a recent buyer of the stock. I hope that indicates to everyone else that inherent belief. The value the company is in the hands of those shareholders who decide buy and sell each day. Like the industries we served, we've seen a lot of unwelcomed erosion in the market capitalization. For example the utility industry which is faced with modest growth and supplied by the coal industry. Many great companies have seen as much as 90% of their value eroded. Now some of that has come from perhaps their own doing with acquisitions has transformed the balance sheet. A lot of it has come from causing a fuel of that type to go out of favor. It’s been reinforced by many other statements and policies of the current administration, but has more than grew up in that industry and recognized the importance of having a balanced energy mix I think that will change in time. Perhaps when [Michael] [ph] cap stocks like ours start trading below a certain level such as our dollars are sharing to less than crucial interest. We also have a large concentrated ownership position in our family and we've also have several shareholders who have been long-term investors in the company. It's not a long list of shareholders who represent probably two thirds of the holdings in Fuel Tech, but what you say is true. We're in a situation where we've developed a nice growing steady contributor to earnings and cash flow from our FUEL CHEM business. Its growth probably was tempered by the change in the utility environment after the financial crises affected many economies. Our air pollution control business has been equal in size, but unlike FUEL CHEM, which has a fairly steady recurring revenue stream, it is a business that goes in waves. Those waves are caused by regulations. They get promulgated and then get litigated, get added to and then changed and so I probably see four or five cycles in my nearly 17, 18 year association with the company. We're probably now beginning to come back out of one of the more severe waves. 2014 for air pollution control bookings in the United States was probably as weak as it ever was since 2001. We have had no utility drivers since the Cross-State Air Pollution Rule was stayed at the end of 2011 and vacated in August of 2012. So we're talking now for three years and not having a clear driver and it's been in a time period when utilities are looking at alternative lower cost natural gases as source of fuel. We're seeing a lot of switching. We're seeing a lot of retirement of plans and the bottom line is that marketplace has undergone and it continues to undergo transforming change. I do see that tampering over time and I think the role of coal in the solutions we provide in our generation mix will remain an important component of electricity generation in this country and around the world. Obviously in China it accounts for nearly 80% of their energy and on a world-wide basis, the use of that fuel will grow and the need for solutions to enable it to effectively meet regulations will be a mandate. But when you get into a down cycle like this, the earnings that we generate in the FUEL CHEM can be offset by suspended level of earnings in the air pollution control segment. So its bottom line at the operating level had more volatility in it and that's why you see our consolidated results soften. But with each down cycle like we experienced in 2009 and 2014, the company still generates cash. I keep a close eye of cash flows. You can generate stronger cash and not invest in your future or you can choose to commit yourself to long term development as I've done as I think this administration will continue to do to bring new products to the marketplace. These don't happen overnight, but it took Fuel Tech a number of years to even develop its original SNCR technology, which it ultimately won an extraordinary share of the installations around not only this country, but in other places it served. So we now account in our experience base of all technologies in more than 1,000 installations. We broadened that suite of technologies from the burner to the back end. We had a particular control technologies in 2014 whereas back in 2009 in connection with the ACT acquisition we began to focus at the burner level. With fuel conversion, we have an opportunity to look at the pre combustion level. How can we remove the pollutants from the fuel? How can we take a feed stock that will serve a significant BTU value is based on more depressing market environment and covert that into higher value fuels, byproducts that meet future, not only efficiency needs, but economic needs and emissions needs using good science and engineering. So best what we're doing in developing for the future. On being able to unlock the value for Fuel Tech shareholders has to come from recognizing that both the air pollution control franchise and the FUEL CHEM franchise each on its own has greater value than the market capitalization and company for the enterprise value of the company. So it's not hard to look at those two segments and say what are they worth? The market is not recognizing that. However, as we develop our strategic relationships around the world, not only in Europe, China and this country, we have potential on existing partners who realize that we have great technologies, excellent solutions and outstanding engineer count. So for the long haul, I think we will see the restoration of that value. However, we want to monetize that opportunity for our shareholders. I am not predicting that we're going to return to the values that we had at the height of the Cleantech bubble. Those got a big irrational. We were once $38.20 a share, but why should we be at the level we are? I think it's time that investors look at what we've created, what we have as future platform of products in our portfolio and just stand back and say, okay, is the future need for environmental solutions going to go away? Well, of course not. I look at the U.S. get stalled, but I also can go back and remember the days when air pollution cities like Los Angeles and New York were so severe that we wouldn't begin to tolerate those levels today. We've given our American citizen outstanding quality environment over these last three to four decades. That same opportunity exists in China and around the world. But the European Union and economies have been troubled. Our own economy has been challenged, but we nevertheless have the resources, the talent and the innovative capability to find ways to grow our business profitably and secure great returns for our shareholders. So I am in for the long haul and we hope our investor would recognize this as a great opportunity.
Joel Marcus: Well, I certainly appreciate that answer. I feel that in the crucible last year and finding the headwinds that the company was presented with. I think it's a magnificent achievement for this company to have been cash flow positive for the year. Obviously the talent of management comes to the floor when times are difficult as opposed to when times are easy. So I appreciate what you've just said. I just hate to see the paper of the company become I mean, obviously it will be difficult for you to use stock currently to make an acquisition due to the fact that you're trading so far under book value, but you a negative enterprise value. I mean with the cash balances of this company one would hope that maybe in the shorter intermediate term, you can express that confidence and point the markets of the stock in the right direction to restore a rational value to the shares via reinstituting a buyback, which you certainly have the cash to do, about may be even considering instituting a dividend. But, you know, at this point in time, I'm hoping in the short and intermediate term to see the company take steps to restore value to the symbol and to create or may be begin conditions in which your shareholders can see a rational return on their investment, which certainly at current levels. I believe your shares represent an absolutely excellent opportunity and have tremendously good investment potential. So -- but I would like to see the company in some way point the market in the right direction, let's say in the short-term, to get that process started.
Doug Bailey: Well, just to wrap up with some final comments, Joel, we recognized this valuing trend against what we saw is the intrinsic value of the company. A couple of years ago, we instituted a stock buyback of $12 million. But we didn't want to use all our resources that put us alone. Stock buyback is perhaps the most tax efficient way to return money to shareholders over dividends. But the opportunity to use our capital resources for long-term development growth, whether that was internal, in new product development or through external acquisitions has to play an important role. And I think you've seen us do that. So, we've kept our liquidity, our generation of cash flow alive and well. And our balance sheet is strong. We will continue, however, to look for important partnering opportunities and unlock those values and create return to our shareholders that we're all looking for. So, thank you for that question. I'll turn it back over to the operator for the next question.
Operator: Thank you. Your next question comes from the line of John Rast representing Wheelhouse Securities. Please proceed.
John Rast: Thank you for taking my question.
Doug Bailey: Good morning, John.
John Rast: Yeah. Good morning. Thank you. Most of my questions have been answered, but I just had one further question. If in the event that ABC business does not recover as you are anticipating for 2015, do you currently have plans in effect to address that just as far as cost line?
Doug Bailey: Sure. I mean, we do address our cost on a continuous basis. We actually had about an 8% reduction in staff in 2014. It's a business where you have to be thoughtful and plan both in your hiring and your management of organizational levels. We're seeing the APC market become one where we're bidding on larger, lumpier contracts. I think the people have been on these calls have heard me speak to the lumpiness, and some of our -- the opportunities that we've tendered bids on are significant in dollar size. So we have to be able to execute new windows. On the other hand, when you have competition there is no certainly that you will win those. So we will continue to align our organizational level needs to meet -- well, we think will be the opportunities for the company. That is a greater challenge in the air pollution control segment than it is in the FUEL CHEM segment. If you think about FUEL CHEM as a pretty specific technology, it's got a great sales and organization staff to support that and has a recurring revenue business. With respect to air pollution control, as we grow our capabilities, we've expanded around technologies where some parts of our organization are specifically highly trained. So, we have an organization in Durham, North Carolina focuses on SCR applications. We acquired a business in Westlake, Southern of the Cleveland, Ohio that focuses on particulate control technology. We have to be in a position to best utilize those people for the contracts that their talent and experience and skills are directed. At the same time, we took a measured step to increase our international footprint. So, therefore, when you have operations in Europe, in Chile and China and different places, you know, you can best utilize those -- that level of SG&A in the local market where they serve. So, it's sort of a typical thing I see companies experience when they kind of cross into that $100 million plus level of revenue that the growth is desired because you expand that range of capabilities and geographic footprint. And for small company, I think we ended the year at about 198 people, could be serving a global marketplace is a lot of wear and tear on new people. But we have ways of managing our cost, but without jeopardizing our ability to execute on the projects. The other thing I'll add to that has been a priority of mine and the company's is many of our R&D dollars and much of our effort has been to try to over time transform the business more to recurring revenues than just capital projects Capital projects are revenues that you have to go hunt, kill and eat and then together go hunt, kill another one. If they were using specialty chemicals or you had strong chemical partnerships that are looking for our capital solutions, then you can create the follow-on revenue stream from those projects. We aren't going to move away from capital projects, but we're going to use our internal development capabilities and our partnering opportunities to enhance the recurring side of that business. So that's why you here heard me speak about research and development initiatives that are looking at the FUEL CHEM business model for pollutant removal or pollutant reducing initiatives. At the same time, fuel conversion is exactly that. It's a vision of a recurring revenue business around a solid fuel as appose to a specialty chemical that can provide that kind steady flywheel to your financial model. I hope that helps answer your questions.
John Rast: Yeah. Thank you.
Doug Bailey: I think we have one more question in the queue, do we?
Operator: Your final question comes from the line of Robert Manning. Please proceed.
Robert Manning: One of the things obviously that will help the value of the stock is in past questions, is if the fuel conversion business begins to look like something that can visibly report actual results. Could you bring us up-to-date on that? And milestones we might look for during the year 2015?
Doug Bailey: Sure Bob, hi. The milestones for 2015 are really related to the front-end engineering work for that. It's a great opportunity. We have to do it right. So, our spending program in 2015 is aimed at completing a full process design. That's about a three to four-month effort that we just undertook at the beginning of the year. We will follow that with detailed engineering designs process that we envision can be represented in the right choice of equipment and associated capital cost. And we continued even before we undertook this acquisition of technology to refine the financial model around that the markets are concerned. These markets are ones that are going to need innovative solution. A good example of that is if you look at the aged infrastructure of the American coke industry, and you could segment that both in furnace coke and foundry coke. These are very highly polluting facilities that are vital to the American iron and steel industry and yet they have infrastructure that often dates back to the 40s and 50s and 60s. The value per ton of these kind of fuels are significant compared to their feedstock, particularly if you look at the iron industry where certain engineered shapes can provide energy efficiency, products that have removed the pollutants that we now have regulations to capture. A good example of that is mercury. Why put expensive investment on the backhand of a poorly designed polluting facility to try to capture mercury, if you have been remove it from the fuel itself. I think this is a very important long term need of the American coal industry and related fuels and this can range from Biomass to coals of any rank or in liquid from, but if you can process those feed stocks to prevent the disease rather than treat the disease and create the specialty, custom engineered fuels and custom engineered that the overall chemistry and mechanical performance of those fuels, the needs for those type of products will be enduring.
Robert Manning: Is there any way to assess, how closely are to having the solution here? We’ve got a pilot plant using this technology down in Wise County, do we just have to tweak out a little bit to get something its economically viable or do we have to kind of redesign from the ground? I have no idea if we're in the early stage of a five-year project to get this thing going or whether we are really close to having something that will actually work and become commercially viable.
Doug Bailey: Well, actually Bob this area of development has seen multiple earlier pilot plans. So working with companies in the steel and foundry business to conduct test in today's marketplace, they're realizing that the frailty of supply is one that's becoming strategically of concern. So the pilot -- the commercial demonstration facility that you’re referring to is one that was created by those from whom we actually bought just the intellectual property and not the facility, but we work with that facility before we have one of our own to prove out what its already able to demonstrate with its own commercial sales. It actually is a licensee of the technology that we purchased and then therefore we licensed to it. So our approach is to really do good, sound process of design engineering of the next generation facility that’s very, very careful efficient. It’s got the right scale and 2015 will consist of business development activities that have been well underway to look for strategic off take partners for those kind of facilities. We don’t expect to have one operating this year, but we expect to have one fully engineered.
Robert Manning: Great. Thank you.
Doug Bailey: Yes Bob, thank you.
Operator: With no further questions at this time, I would now like to turn the call back to Mr. Doug Bailey for closing remarks.
Doug Bailey: Well, thank you. As always there's good questions that come from our interested analysts, investors and I appreciate some of the baffled comments that were made. 2014, we knew was going to be a challenging year. I’m actually very pleased that we accomplished what we did. I’m increasingly optimistic about 2015. Surely we'll have challenges before us, but we’re not alone in our marketplace for companies that have those, but you got a great team of people working here at Fuel Tech and I particularly again I express my great confidence in Vince to succeeds as CEO. I'll continue to work with him on a daily basis in the role of Executive Chair and we'll try to deliver the kind of results that I as one shareholder and you as others would like to see. So thank you everybody for today's call. Much appreciated. Bye for now.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.